Operator: Good day and welcome to the Molson Coors Beverage Company Fourth Quarter and Fiscal Year 2020 Earnings Conference Call. You can find related slides on the Investor Relations page of the Molson Coors website. Our speakers for today's call are Gavin Hattersley, President and Chief Executive Officer; and Tracey Joubert, Chief Financial Officer.  With that, I'd like to turn the call over to Greg Tierney, Vice President of FP&A and Investor Relations. Mr. Tierney, Please go ahead.
Greg Tierney: Thank you, operator and hello, everyone. Following prepared remarks from Gavin and Tracey, we'll take your questions. Please limit yourself to one question and if you have more than one question, please ask your most pressing question first and then re-enter the queue to follow up. If you have technical questions on the quarter, please pick them up with our IR team in the days and the weeks to follow. Today's discussions include forward-looking statements and actual results or trends could differ materially from our forecasts. For more information, please refer to the risk factors discussed in our most recent filings with the SEC. We assume no obligation to update forward-looking statements. GAAP reconciliations for any non-US GAAP measures are included in our news release or otherwise available on our website. Also, unless otherwise indicated, all financial results the Company discusses are versus the comparable prior-year period and in US dollars. And with that, over to you, Gavin.
Gavin Hattersley: Thank you, Greg and thank you all for joining us today. 2020 was an incredibly challenging year for everyone, Molson Coors included. But in many respects that consider us lacking. The revitalization plan we put in place in October of 2019 positioned our Company well to weather the storms of 2020. Our business was leaner and more nimble, which put us in a better position to conserve resources as the circumstances dictated. And we deployed them effectively at the circumstances a lot, and the results bear that out. When you consider what we set out to do on our revitalization plan, we accomplished an incredible amount in 2020 and that has given us a tremendous springboard for 2021. Our two largest brands, Coors Light and Miller Lite grew 6.1% and 8.6% in the US off-premise respectively. Our above premium brands in the US reached a record high percentage of the portfolio in the second half of 2020. Beyond beer, our first foray into non-alcoholic cannabis beverages through the Trust joint venture has the number 1 dollar share spot in the entire Canadian cannabis beverage market. We increased our production capacity for our fast growing seltzers by approximately 400%. And we approximately doubled our annual investments in our hometown communities. That is the story of Molson Coors in 2020. Now you may be wondering why I have such confidence, especially if you only look at our consolidated top line results in the fourth quarter. But that number alone does not tell the full story. And if you only look at that piece of data, you've missed it. Our top line results in the fourth quarter were overwhelmingly due to losses resulting from government restrictions in the European on-premise channel.
Tracey Joubert: Thank you, Gavin and hello, everyone. The coronavirus pandemic had a significant impact on our 2020 financial performance primarily due to the on-premise restrictions and lockdown. Our Europe business was the most impacted, particularly in the UK. There are business skews heavily towards the on-premise and drove revenue and EBITDA declines in both the fourth quarter and for the full year 2020. In fact, Europe which accounted for only 16% of our revenue in 2020 contributed to 61% of revenue decline, and 83% of our EBITDA decline for the year, and 92% of the revenue decline and 56% of our EBITDA decline for the fourth quarter. Despite these incredible challenges in 2020, we are proud of our resilience and the financial performance as we have navigated through this unprecedented times. Now, let me take you through our full year performance and then I'll touch on our quarterly results, before moving on to our outlook. Recapping the year, consolidated net sales revenue decreased 8.7% in constant currency of which North America was down 4.3% while Europe was down 28.4% on a constant currency basis. While we delivered net pricing growth in North America and Europe as well as positive brand and packaged mix in the US. This is more than offset by volume declines and unfavorable channel mix principally driven by varying degrees of on-premise restrictions throughout much of the year due to the coronavirus pandemic, which also drove packaging material constraints due to the unprecedented can demand.
Operator: Thank you. We will now begin the question-and-answer session.  The first question today comes from Andrea Teixeira with J.P. Morgan. Please go ahead.
Kojo Achiampong: Hey, good morning guys. It's actually Kojo, on for Andrea.
Gavin Hattersley: All right.
Kojo Achiampong: Hey, how are you? Just at a high level, we're just wondering if you could provide a little bit of color on how  quarter to-date in both North America and Europe?
Gavin Hattersley: Look, we don't provide guidance in months' depletions -- lots of ups and downs. But from a European point of view, as Tracey said in our opening remarks, the on-premise remains in lockdown and so we expect the first quarter volumes in Europe and particularly in the United Kingdom to be challenged. From a U.S. point of view, the lockdowns remain although it does vary from state to states and we do see a listening  of on-premise restrictions, both in North America and in Europe as we progress into Q2 and further on into the year. From a supplier point of view, just reiterate my comments in the script that our Coors Light can suppliers much improved. Our inventory levels are actually higher than they were at the same time last year. They were well-positioned to take advantage of the brand health strength of Coors Light. Next question?
Operator: The next question comes from Kevin Grundy with Jefferies. Please go ahead.
Kevin Grundy: Great, thanks. Good morning, everyone. I want to spend some time on Europe, just given the impact in the quarter. So obviously, pretty challenging both from a revenue and profitability perspective, understanding of the impairment charge is non-cash, it naturally signals a less confident outlook and ability to return to levels of profitability perhaps you've previously thought at least within a reasonable amount of time when you're doing the discounted cash flow model. So Gavin, it would be good to get your updated views on your outlook for this business, strategic fit within the portfolio and how you're thinking about the cost structure given this less-constructive outlook? And then, Tracey, for you relatedly not to get too much in the weeds with this, but I'm just trying to understand the margins in the quarter. So, the topline pressure in the second quarter was worse than the fourth, but the margin performance was clearly a lot more pressure. The detrimental margins in the second quarter about 25%, closer to 60% in the fourth quarter. It just seems like there is a better ability to sort of flex down MG&A in the second quarter than there was in the fourth. I think it will be useful for folks if you can maybe spend a little bit time on that. So, thank you, both. I'll pass it on.
Gavin Hattersley: Thanks, Kevin. I'll talk about Europe and performance specifically. Look the on-premise restrictions in Q4 were fairly draconian. There was somewhat of a scattergun approach across Europe, which we spend a little harder for us to plan and react to, particularly on the cost line. When you compare Q4 versus Q2, the impact for Q4 was particularly pronounced because December has historically been a very strong month for the on-premise in the UK, given the holidays and of course you can't be outdoors that much comfortably in in the fourth quarter as much as you can than in the second quarter. It's also a seasonally lower-trading period in Central and Eastern Europe. So, we saw some of the declines in the second and fourth quarters from a volume perspective. But the on-premise restrictions in the second quarter were more uniform. So, it made it easier for us to plan. Certainly the lockdowns as I said earlier, it have continued into the first quarter. We did make some conscious decisions in Q4 -- Kevin seen this  -- behind our core brands, not only in the United States, but also in Europe and in particular in Central Europe. We've got some strong brand and we wanted to make sure we position ourselves for sustainable recovery in 2021. So that explains why the MG&A in Europe was a little higher than you than you might have been expecting. We were investing behind our brands. What else is the question?
Tracey Joubert: Yes. Kevin did ask about the strategic outlook.
Gavin Hattersley: Oh, okay. Kevin, our top priority as a company as a whole is to make sure that we emerge strong coming out of the pandemic when the on-premise returns to more normalized levels. And this includes Europe, which we continue to view as a strategic asset.
Kevin Grundy: Thanks. Got it.
Tracey Joubert: And then if I can just jump in on the margins. Yes, in Europe in Q4, we focused our marketing investment on specific brands and markets where we had capacity and we needed to ensure that we were competitive in context of share of voice and brand health metrics. And third, the investment that we made in Q4 in Europe, which is support the ongoing performance of our national champion brands and our premiumization and they also just -- if we root back in comparatively much larger spins  in Q4 of 2019 in Central Europe. That would account for some of the margin differences.
Kevin Grundy: Okay, thank you very much. A bunch of questions, but I'll pass it on. Thank you.
Operator: The next question comes from Kaumil Gajrawala with Credit Suisse. Please go ahead.
Kaumil Gajrawala: Hi. Good afternoon, everybody. Can you talk a bit about your expectations for the on-premise for 2021 as it relates to what you've incorporated into your into your guidance and what sort of -- specifically to the U.S., at what rate do you expect it to recover? How much does that contribute to your numbers? And then if you could also maybe help us with mechanically what that means for your business, I believe your shares are higher off-premise, we kind of know that over the course of 2020, large pack sizes took a larger degree of share from -- while the rest of what was being sold at food retail and then obviously will look very different when we get to an on-premise and more normalized on-premise environment. Are you a net share beneficiary as the on-premise trends back on? Does it work the opposite direction? If you could help us with some details there that would be helpful. Thank you.
Gavin Hattersley: Thanks, Kaumil. Yes, let me try and give you some context. Obviously, the reality is the situation remains fluid by market. In the third quarter of last year, we did see some on-premise reopenings pretty much across the board in the countries in which we operated and during the fourth quarter, we saw it return to much more severe on-premise restrictions as most countries went back into strict lockdowns and there was no benefit of outdoor dining given the climate. In terms of our major markets in the UK, the government operated a tiered system of restrictions in October, then they followed that up with a national lockdown in November and returned to a tiered system in December, but pretty much the UK is locked down as we speak. In North America, Canada was particularly maybe impacted more than the U.S. from a lockdown point of view. It was a stricter lockdown and then we really did see varied pictures across the United States, depending on which state. So from an on-premise performance point of view in the United States, it's been fairly stable for a while now. There's no big spike up or down. In terms of market share, we think that the consumer moving to big and trusted brands will benefit us in all the markets in which we operate and where we have seen reopenings, we've seen that play through from a market share point of view. So, I think we will be net beneficiaries when that takes place. Obviously in our above premium portfolio, we were very pleased with our performance in above premium in the fourth quarter and that's in the face of Blue Moon and Peroni which is strong on-premise. Their brands being obviously challenged because of the lack of on-premise and we expect that when the on-premise comes back more fully, that those 2 brands will be big beneficiaries of it. If you look at the UK, which is the market, which has the largest on-premise exposure, we've demonstrated a sustained track record of growing our share in the on-premise even in the UK. For at least five years pre-pandemic, we've grown our share in the on-premise as we've driven to be the first choice for our customers. In fact, we just learned this week that we were number one again with our customers in the Net Promoter Score survey across the trade in 2020. So, we've got contracts to supply many of our competitors in both the retail and wholesale models. Our customers value the service that we bring through our own brands and also our wholesale brands. So, we believe we're well-positioned to gain share in the UK market when it reopens. I think I got all your questions there, Kaumil.
Kaumil Gajrawala: You did and it was probably unfair. It was a lot of questions in one. So, I guess just to follow up on the portfolio and maybe your best guess -- you've announced a series of deals over the last number of months -- can you give a best guess of what your portfolio breakdown is likely to look like by the end of the year? Is it still likely to be about two-thirds Premium Lights followed by high-end and -- I don't know how much non-alcohol would be as part of it, but maybe just give some idea of if we put all of these deals together, how your portfolio may look different as we move forward with the rollouts of these products in the next 12 month?
Gavin Hattersley: Let me try and give you some color there, Kaumil. Obviously, we've been very clear about the objective in our revitalization plan of driving our above premium portfolio and our beyond beer portfolio. Almost all of the deals we've done come into  above premium margins. So that was two of the five focus areas in our revitalization plan that we announced in October of 2019. And we're going to continue building on that. You could see the results of that in both the third quarter and the fourth quarter with a positive mix which we generated. We generated another quarter above 200 basis points of positive mix, which is continuing to reflect on growth and performance in above premium. For Nielsen, we actually grew share of above premium despite the on-premise challenges which brands like Blue Moon and Peroni have experienced. We obviously put out the ambition of getting to a billion dollars revenue for our Emerging Growth division, which is going to require that many of our partnerships that we've just announced like  and so on are successful. They're coming off of a standing start of zero because we didn't have them before. I'd also point you to the fact that we actually grew the topline in the very market with concerns have been expressed about our ability to execute. We grew the topline in the fourth quarter despite all these deals that we've done, the challenges that we faced. We're going to build on that in 2021. There is a lot of excitement from retail and from our distributors with the deals that we've done -- particularly brands like Zoa and Topo Chico. A lot of excitement and that will continue to improve our above premium mix. I hope that's helpful.
Kaumil Gajrawala: Okay, great, thank you.
Operator: The next question comes from Sean King with UBS. Please go ahead.
Sean King: Hi, good afternoon. I guess my question is would hard seltzer becoming a larger portion of the mix and I guess the growth story going forward. Can you discuss, I guess the gross margin profile of that business for you and how that could change over time?
Gavin Hattersley: Yes. The hard seltzer has been a very strong growth category. We believe that's going to continue in 2021 and we are excited about our opportunity for hard seltzerrs. We think we've got one of the strongest portfolios of hard seltzers with each brand having a very unique perspective on the category. So, by the time that we have all four of our hard seltzers in markets this year. We think it's differentiated, provides differentiated offering for our consumers and I think we will place. Seltzers do operate at the upper end of the above premium price points and therefore operate at the sort of upper-end of our margin structure. We don't give it up publicly specifically, but you can be assured that it's high.
Sean King: Great. Thank you very much.
Operator: The next question comes from Chris Carey with Wells Fargo. Please go ahead.
Christopher Carey: Hi, good morning. I guess just conceptually, trying to understand how you think about the off-premise channel in 2020? Certainly there was more strength there as there was a channel shift, but I guess I'm also hearing that it sounds like you think there is some sustainability to the growth that you've seen there and certainly, you're going to be investing behind that. I guess underlying the question is, I'm trying to understand what you think might be sustainable coming out of this year and certainly in 2021 if the recovery the on-premise is a bit slower than what might happen. Just trying to understand sensitivities around what's needed to record in the off-premise in order to get you this topline growth algorithm? Thanks.
Gavin Hattersley: Should we believe that there will be some sustainability to the off-premise demand? I think consumers have learned new behaviors and new occasions have been created. So, I think there will be some sustainability, but honestly, we don't believe that it's going to continue to grow at the same level, but there certainly will be sustainability to the underlying trend. There is a very large pent-up demand for on-premise from consumers and so I think when the on-premise is more readily open, I think you'll see a strong pent-up demand from consumers. The other behavioral change which we obviously experienced in 2020 is the growth of e-commerce sales. There are many consumers of alcoholic beverages, they didn't, well, as you could buy beer online and they do now and we've seen 230% increase in our online sales and I think that trend will stay and that's why we're making investments in our e-commerce capabilities.
Operator: The next question comes from Bonnie Herzog with Goldman Sachs. Please go ahead. 
Bonnie Herzog : Thank you. Hi, everyone. I guess I'd like to hear a little bit more color on how you're thinking about balancing your investment between your recent innovations and some of the launches with marketing to support behind your core brands. I guess what I'm still may be struggling with is how you plan to stabilize or maybe even improve your core business, it's a lot of your stepped up investment spend and attention is going to be focus behind all these new initiatives and then Gavin, maybe you could help frame for us some of your targets ambitions for your core business, similar to how you're framing the opportunities in some of the goals you put out there for these new and exciting brands and partnerships. I think that would be helpful. Thank you. 
Gavin Hattersley : Thanks Bonnie. Look, I mean our revitalization plan, which we announced in October 2019 required us to do both. And that's our plan, and it remains our plan investing behind our core brands and investing behind above portfolio is the plan. Tracey mentioned in the guidance approximately flat EBITDA and that's really the revitalization planning coming to life within our big investments behind both Miller Lite and Coors Lite which will see more spend this year, we will put more spend behind our above premium portfolio with Blue Moon Light Sky and Blue Moon. We will put more money behind seltzers. We will have full seltzers in market this year, we only had two one was launched in April, the other one was launched in September this year, we're going to have full as we strive to get to the 10% market share and we're going to be investing behind our new ventures like  and also our Yingli  joint venture. In terms of actual performance Bonnie, Coors Light and Miller Lite have performed really well in spite of the headwinds, which they've got. We've made numerous pivots from a marketing point of view to meet the changed circumstances and where necessary we put marketing money behind it in the four quarter four example. From a media perspective, we shifted our media to two places like social, gaming, podcasts, online video and so and from a creative point of view, new credit, which has resonated with consumers. We've actually created 40 pieces of new  since March. A lot of that has been behind Miller Lite and Coors Lite. I mean, just some examples of that would be our say well workload out party for Miller Lite and then our campaign to get some floors into the Pro Football Hall of Fame with Coors Light and you can see the benefits of that for both of those brands. I mean Coors Light drove significant share growth in the first half of the year, it did slowdown in the third quarter because of the inventory supply constraints which we had, which we are now through because our inventory is higher than it was the same time last year for Coors Lite.  And in December, we saw the best industry share trend we've seen in years outside of the pantry loading for March for Coors Lite. So it's the made to chill campaign platform is working and we're excited about it and Miller Lite shape trends have been strong. Now we obviously as I said in my opening remarks, we're not satisfied with the performance until and we intend to put more money behind it. So that's a very long-winded way of saying you know it's both. It's not either or we are not sacrificing one for the other, we believe that we can do more than one thing at one time, and we believe that we've demonstrated it because the market where we've had the most concerned about our execution capabilities, the US and we've grown our top line. We grew our margin, strong pricing, strong brand mix. This is the revitalization plan of action. It's not a series of one-offs. It's the part of the single strategy and that's the revitalization plan, which is specifically aimed to drive top line growth and we believe we will do that in 2021.
Bonnie Herzog: Okay, thank you so much for all that. It was helpful. I appreciate it. 
Operator: The next question comes from Rob Ottenstein with Evercore ISI. Please go ahead. 
Rob Ottenstein: Great, thank you very much. You have and obviously a lot of tremendous initiatives that you have for 2021 and clearly you're very optimistic in terms of the firm's trajectory. However, obviously there is a bit of disconnect in terms of how the public markets are viewing your outlook and prospects. Just wondering what your thoughts are in terms of share buybacks at some point. I know you talked about very significant deleveraging, bringing the dividend back. How does the potential for share buybacks play into this as this disconnect continues and also maybe Tracey remind us about your cash tax rate, which I believe remains very advantaged kind of roughly what that level was and how long it stays at that depressed or lower level. Thank you very much. 
Gavin Hattersley : Thanks, Rob. Good morning. Look, I mean as I said earlier on, we have started revitalization plan in 2019 and we're executing that revitalization plan. I'm very pleased with the platform that we laid in 2020. And I think it gives us a really good springboard for ‘21, which is why we've felt confident with the guidance that we've put out there. So I understand there is skepticism around our ability to execute, but we wouldn't be putting guidance out if we didn't believe that we would achieve it. Tracey was very clear about our leverage goals that you comment on our capital allocation Tracey which I think was the underlying question that Rob had.
Tracey Joubert : Hi, Rob. So obviously, we are having ongoing conversations around our capital allocation with our Board and our focus has been on improving our leverage ratio because of the commitment to maintain our investment grade rating as well as investing in our business to deliver the revitalization plan, which is around top line growth. So, as always, we would look at our capital allocation and have a look at what gives us the shareholders the highest rate of return. We went through everything to our pack model to make those decisions, but our intention is to continue to pay down our debts to improve our leverage ratio and as I said in the prepared remarks. It is important for us and we see this on the Q3 call as well. As seen it appropriate to reinstate dividends and as I said in the guidance, that's something that we do anticipate, our Board will be in a position to reinstate in the back half of this year. And so just in terms of the tax cash and questions that  benefit and from the step up and as we did with the Miller Coors acquisition and that's does still run for another few years Rob. 
Rob Ottenstein: Can you remind so what exactly that rate, what do you expect? What that rate was in 2020 and what you expect it to be in ’21?
Tracey Joubert : So we don't actually give that guidance. And we didn't other than given the guidance that we've given you now on the consolidated effective tax rate for 2021 being between 20% and 23%.
Rob Ottenstein: But isn't the cash tax rate half of that?
Tracey Joubert: Yes, that's making progress, but it is at reduced tax rate pretty significantly from a cash point of view.
Rob Ottenstein: All right, thank you very much.
Operator: The next question comes from Bryan Spillane with Bank of America. Please go ahead.
Bryan Spillane : Hey, good morning everyone. Just maybe a follow-up question on cash flow. I don't think I saw it, but Tracey, could you help us a little bit with what you're expecting for capital spending for this year, and also tied to that how we should think about free cash flow conversion in 2021? Are there any big moving parts that we should consider in terms of free cash flow? And, again, some help with CapEx would be helpful, as well.
Tracey Joubert: The time we looked at our metrics for this year to really align with our strategy around our revitalization plan goal and then also looked at metrics which aligns with our commitment to maintain and at the time pre-to investment-grade ratings, so we haven't given CapEx and we haven't given free cash flow, because we do believe that the target leverage ratio metric is more meaningful and more aligned to our strategy.
Bryan Spillane: But we're going to have to put a CapEx estimate into our cash flow statement. I mean, is 2020 a reasonable guide to use, just any help at all, just to get some sense of what we should be flowing in there?
Tracey Joubert: Now, I would say the guidance that we gave back in 2020, which we subsequently  would be the range of CapEx that you'd expect, there is nothing significant that we've got and planned at this stage.
Bryan Spillane: Okay, great. Thank you.
Operator: The next question comes from Laurent Grandet with Guggenheim. Please go ahead.
Laurent Grandet: Yes, good morning everyone. And thanks for squeezing me in. Got a question regarding the DNB  here, so many on that front, there is almost not a week results and new product showing up. So key question from investors is about your ability to prioritize and not to disrupt your core business, could you please give us some comfort on that front in term of execution? And secondly, you mentioned you could reach about $1 billion enough cells by 2023 and that doesn't include hard seltzers. So could you please help us frame how you get there? Because it’s three years to get to $1 billion from zero, so that would be super helpful. Thank you.
Gavin Hattersley: I’m pretty consistent with one thing, I think revitalization plan requires us to do more than one thing at a time, it does not, and I think our fourth quarter is a fine example of that. We grew our top line in the US. We grew our net sales revenue per hectoliter meaningfully. We had positive brand mix and we demonstrated that we could deal with complexity. I mean the structure that we put in place in our company was designed to deal with complexity. We've got a team that focuses on the core brands, and very pleased with what they've done with the Coors Light and Miller Lite and our other legacy iconic brands and then we've got a keynote focuses on beyond beer, that's executing against it. So it's exactly as we laid out the revitalization plan and we're demonstrating that we can do that in our largest market. In terms of the $1 billion revenue ambition for emerging growth, it does encompass a number of areas in the emerging growth. So we are not coming from a standing start. We do have all our craft companies in that area. We have our non-alcohol division. We have our cannabis, THC-infused beverages, RGDS  and our CBD business. It also includes all of our Latin America exports and license market. So in order to get to a billion dollars, we're going to have to grow our top line fully emerging growth division by 50%, to give you some idea of the base that we're coming off. So hopefully that's helpful.
Laurent Grandet: Yes. Thank you very much. 
Operator: The next question comes from Steve Powers with Deutsche Bank. Please go ahead.
Steve Powers : Hey, thanks, and good morning. Just one more question from me, on the beyond beer topic, Gavin. I mean you've highlighted a lot in this call, but I guess I'm hoping you could talk a little bit more about the economics of that beyond beer push, whether in terms of any profit margins, especially when it comes to the distribution deals that you've been tackling on. You mentioned a couple of times with enthusiasm, for example, I’m just curious if you can clarify, how those relationships are structured from the perspective of the Molson Coors shareholder? I mean, it is though it really is a game changer in the energy market. That would be great. But I guess, how are those profits to be split between you, your distribution partners and the brand owner itself. Thanks.
Gavin Hattersley: Yes. Thanks, Steve. Look, I mean, each deal that we've done has been done differently and structured differently. I think it's safe to say that they're all operating in the above premium space from a revenue point of view. Some of these deals we've taken equity stakes in, some bigger and others, but we wouldn't be going into this, if we weren't intending to make money on these deals. We've got such a route to market advantage, from our perspective, the biggest channel for energy drinks to pick on is C-store. Nobody serves the C-store channel better than their distributors. So we think we've got some real structural advantages there, but we're not going to break down each and every deal that we've done and rest assured that our intention is that these are above premium products and that we will make money on them and that we will have equity in most of the deals that we've done.
Steve Powers : Okay, thank you very much.
Operator: The next question comes from Lauren Lieberman with Barclays. Please go ahead.
Lauren Lieberman: Hi, thanks, good morning. I think the some degree you covered this, but my question was really just thinking about the EBITDA outlook for 2021. If I just think about it in terms of rate of growth flat versus 2020 it’s actually better than I thought would be the case. Now, obviously, in dollar terms the basis is lower because of the fourth quarter, but just thinking about that in the context of the timing with which will be posting marketing spending back in and I'm not asking for quarterly guidance. It's more of a conceptual conversation, I'd like to have. Is it investing ahead of recovery, is it investing concurrent with, but just how you're thinking about marketing versus revenue growth and supporting some of the newer initiatives? It could be some helpful and interesting perspective.
Gavin Hattersley: Thanks. Let me try to give you some color without giving you our quarterly budgets. I think you can expect that the second quarter would be a meaningful increase in marketing and sales spend because there was such a dislocation in the second quarter last year, where so much just didn't happen and we we're pivoting and still trying to figure out what the pandemic means. So I think it's safe to say that our marketing spend in Q2 will be quite a lot higher than it was in Q2 of last year. Beyond that, we'll be investing behind our innovations. So -- and again, behind, but large  at the appropriate times of the year, but I think the biggest piece of guidance I can give you is Q2 will be a meaningful increase.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Greg Tierney for any closing remarks.
Greg Tierney: Thank you, operator. I appreciate everybody joining us today and I know there may be additional questions we weren't able to answer. Please follow up with me and our IR team with any of those questions and we look forward to talking with many of you as the year unfolds. With that, thanks everybody for participating in this call, and talk to you all soon. Thank you.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.